Operator: Good day, and thank you for standing by. Welcome to The Pennant Group Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Derek Bunker. Please go ahead.
Derek Bunker: Thank you, Cory, and welcome, everyone. Thank you for joining us today. Here with me today are Brent Guerisoli, our CEO; John Gochnour, our President; and Jen Freeman, our CFO. Before we begin, I have a few housekeeping matters. We filed our earnings press release and 10-Q yesterday. This announcement is available on the Investor Relations section of our website at www.pennygroup.com. A replay of this call will also be available on our website until 5 p.m. Mountain Time on Friday, December 9, 2022. We want to remind anyone that may be listening to a replay of this call that all statements made are as of today, November 8, 2022, and these statements have not been nor will be updated subsequent to today’s call. Also, any forward-looking statements made today are based on management’s current expectations, assumptions and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on today’s call. Listeners should not place undue reliance on forward-looking statements and are encouraged to review our SEC filings for a more complete discussion of factors that could impact our results. Except as required by federal securities laws, Pennant and its affiliates do not undertake to publicly update or revise any forward-looking statements where changes arise as a result of new information, future than changing circumstances or for any other reason. In addition, the Pennant Group is a holding company with no direct operating assets, employees or revenues. Certain of our independent subsidiaries, collectively referred to as a service center, provide accounting, payroll, HR, IT, legal, risk management and other services to the other operating subsidiaries through contractual relationships with [indiscernible]. The words Pennant, company, we, our and us refer to the Pennant Group, Inc. and its consolidated subsidiaries. All of our operating subsidiaries and the service center are operated by separate, independent companies that have their management employees and assets. References herein to the consolidated company and its assets and activities as well as the use of the terms we have in our and similar terms used today are not meant to imply nor should it be construed as meaning that -- the Pennant Group has direct operating assets, employees or revenue or that any of the subsidiaries are operated by the 10 Group. Also, we supplement our GAAP reporting with non-GAAP metrics. When viewed together with our GAAP results, we believe that these measures can provide a more complete understanding of our business, but they should not be relied upon to the exclusion of GAAP reports. A GAAP to non-GAAP reconciliation is available in yesterday’s press release and in our 10-Q. With that, I’ll turn the call over to Brent Guerisoli, our CEO. Brent?
Brent Guerisoli: Thanks, Derek and welcome everyone to our third quarter 2022 earnings call. Thank you for joining us today to discuss our quarterly results. Again, I’d like to recognize our frontline workers, staff and leaders and [tenant] who sacrifice every day and provide life-changing service across the communities we serve. As we’ve detailed over the last several quarters, we continue to build long-term foundational strength through several key efforts. First, we are focused on recruiting and developing CEO-level health care leaders equipped with Pennant best practices to accelerate our next phase of growth. Second, we are investing in people, systems and data tools designed to improve the ability of our local teams to respond to the unique needs of our health care communities. These are ongoing processes designed to build the engine that will drive outsized performance for many years to come. While this quarter’s earnings didn’t fully reflect the progress we expected as we navigated continued wage pressures, full sequestration and a softer hospice ADC, we’re seeing notable progress as measured by revenue, admissions, occupancy and cash flow, we’re seeing strength build in many of our markets and clusters. We are on track to make significant improvement in the second half of 2022 and are positioned to produce strong results going into 2023. We have substantial latent potential in our existing operations. We’ve been improving our cash flow and balance sheet, and we are beginning to return to the risk pace of strategic acquisitions that we’ve executed on for much of our history. We know where we are going, how to get there, and we are excited about the progress we’re making toward operational excellence and our ability to generate and deploy cash toward accretive growth in active M&A landscape. As we mentioned in our press release yesterday, we are revising our guidance for full year 2022 in light of the pressures mentioned earlier. However, our updated guidance demonstrates confidence in our momentum through the end of the year and into 2023. We are encouraged by improvements in our recently acquired operations and believe there remains significant opportunity to drive better earnings as we continue to acquire high-quality assets and execute with discipline around our core opportunities. We look forward to tackling the many strategic and organic growth opportunities before us. At this point, I’ve asked John Gochnour to provide an update on our operational and investment results.
John Gochnour: Thanks, Brent. Our third-quarter operational results reflect positive momentum in each of our operating segments. In our home health and hospice segment, strong top and bottom line results were led by a 10.2% increase in total home health admissions, a 10.1% increase in total Medicare home health admissions and a 7.8% increase in hospice [indiscernible], each over the prior-year quarter. Our home health revenue grew a strong 16.5% over the prior year quarter as we continued to lean into our relationships with partners across the communities we serve. And our acquisitions from 2021 continued to mature. Though there is still some temporary drag in the growth of our hospice average daily census due primarily to a shorter average length of stay were improving sequentially as we saw ADC grow 0.4% over the second quarter of 2022, which itself was an increase of 2.4% over the first quarter as our average length of stay normalizes and our local teams continue strong admissions, we expect our ADC growth to return to traditional levels. Our leaders exercise rigorous cost discipline in the face of significant increases in the cost of labor, fuel and other inflation-sensitive areas, leading to adjusted EBITDA of $14.2 million, $1 million or 7.7% above the third quarter of 2021. Our clinical metrics continue to be the foundation of our success, highlighted by the majority of our home health agencies operating at a CMS star rating of 4.5 or above in a real-time acute care hospitalization rate of 12%, which is measurably below the reported national average of [Technical Difficulty] 14.2% and shows our value proposition to our health system and payer partners. During the quarter, we acquired the operations of Ardent Hospice and Palliative Care with locations in the Central Valley and Palm Springs, California, to our hospice portfolio. This is a highly strategic acquisition for us as we build on strong proven leaders in our California market with deep partnerships throughout the state to help drive these locations forward. We also recently announced the acquisition of Kenosha Visiting Nurse Association, a home health and personal care agency that has served Kenosha, Wisconsin and its surrounding communities for more than 95 years. We are grateful the organization’s Board has entrusted us with such a significant legacy and excited to write a new chapter or another operation in the Milwaukee area, where we also have strong leadership producing exceptional financial and clinical results. The staff and patients of KVNA are in good hands with our local leadership team. We’re excited for the budding opportunity inherent in each of these acquisitions. On the regulatory front, CMS recently released the 2023 home health final rule, which included CMS’ decision to reduce the behavioral adjustment cuts calculated by half for calendar year 2023. These cuts were also offset by a stronger than originally proposed 4% market basket update. Based on our claims data and run rate on 2022 Medicare home health revenue, we expect a net negative impact of approximately 1% in our Medicare home health revenue for 2023. While the final rules negative behavioral adjustments represent a headwind for providers in our industry. And in home health and hospice segment began in and has thrived through periods of uncertainty and reimbursement cuts, much like today, thanks to the scalability of our operating model built on local leadership, our commitment to maintaining a strong and flexible balance sheet and our opportunistic approach to acquisitive growth. The final rule, together with the growth of Medicare Advantage and home health value-based purchasing reimbursement programs show how home health providers that can effectively manage costs and improve quality will be increasingly recognized and rewarded. We have been preparing for the implementation of the final rule. And much like the change to reimbursement affected through PDGM several years ago, we are confident we can pull the right levers to continue our growth, even in a challenging reimbursement environment. In our senior living segment, we continued our recovery by taking a step forward in many key metrics. Same-store senior living segment revenue of $32.2 million was an increase of $3.4 million or 11.8% over the prior-year quarter, while adjusted EBITDA of $1.5 million represents growth of $1.4 million over the prior-year quarter. Year-to-date, segment-adjusted EBITDA of $4 million represents growth of $3.2 million over the prior year period. Excluding the communities we exited year-to-date, average occupancy improved 140 basis points over the prior year quarter, and revenue per occupied room increased 12.2% over the prior-year quarter, in part due to rate increases that went into effect over the summer and better processes for tracking and billing more accurately for the level of care provided. The momentum our senior living leaders are generating is demonstrated by occupancy improving 0.4% and RevPAR increasing $87 or 2.5% each over the second quarter 2022 on a same-store basis. Labor challenges linger with average wages up in the third quarter by 2.7% over the second quarter. We continue to attract and develop senior living leaders who are contributing to and will be instrumental in our turnaround in the segment. We have more to accomplish with higher cost of services and occupancy several points below pre-pandemic levels. However, we know that achieving exceptional operational results starts with talented local leaders and resource support. And as we’ve been building our leadership strength in this segment, we’re beginning to see the fruits of that key effort. Overall, we are pleased with the progress made in the third quarter in a challenging operating environment. Our operators, clinicians, resources and service center partners all share a single focus on operational excellence. At the same time, our pipeline of potential investments continues to expand. We remain focused on evaluating operations that fit our strategic criteria of small- to medium-sized operations with strong reputations in their communities, but with significant organic growth potential where our operational expertise can capture that upside for our stakeholders. While we continue to be very disciplined as we look to deploy capital, our cash flow is improving. We are pleased to have a strong balance sheet, and we see several dynamics that favor strategic buyers like ourselves that are focused on maintaining the legacy of sellers, providing an exceptional employee experience and delivering quality clinical care. Finally, I’m grateful for the persistent dedication and hard work of our 5,400 Pennant family members, and I’m confident as we continue to perform, we will achieve exceptional clinical and financial results. With that, I’ll hand it over to Jen for a review of the financials. Jen?
Jen Freeman: Thank you, John, and good morning, everyone. Detailed financial results for the 3 and 9 months ended September 30, 2022, are contained in our 10-Q and press release filed yesterday. Our third quarter results were strong, though a bit shy of our expectations due to slower than anticipated ramp in our hospice volumes and a cost of services impacted by elevated labor in the quarter. For the 3 months ended September 30, 2022, we reported total GAAP revenue of $118.4 million, an increase of $6.4 million or 5.7% over the prior-year quarter. GAAP diluted earnings per share of $0.16 and non-GAAP adjusted earnings per diluted share of $0.14, an increase of $0.03 or 27.3% over the prior-year quarter. We are pleased to report ongoing strength in our GAAP cash flow from operations for Q3 2022 of $8.1 million, bringing our year-to-date cash flow from operations to $13 million, excluding the repayment of $6.2 million in Medicare Advance payments, which were completed in the second quarter, our year-to-date cash flow from operations is $19.2 million. Also excluding the 2 announced acquisitions in the third quarter and since free cash flow would have been $5.5 million in Q3, including $2.6 million of CapEx for improvements in our communities. This strong cash flow is important as we take a strong balance sheet into a recessionary environment with the reimbursement headwinds that should present greater acquisition opportunities. We’re excited to grow and continue to generate solid cash flow for our stakeholders. Other key highlights for the 3 months ended September 30, 2022, include $7.5 million drawn on our revolving line of credit and $3 million cash on hand at quarter end and 1.98x net debt to adjusted EBITDA leverage ratio. As mentioned in our press release yesterday, we are revising our fiscal year 2022 annual guidance to revenue between $458 million and $462 million. Consistent with our prior guidance and how we have measured ourselves all year, this excludes revenue from transferred and newly acquired communities and start-ups. With those items added back in the full year revenue would be between $467 million and $473 million. Additionally, we revised adjusted earnings per diluted share to between $0.55 and $0.60 on $30.3 million of diluted shares. Adjusted EBITDA was revised to between $31 million and $33.5 million. Our revised earnings guidance reflects ongoing growth in our home health and hospice submissions and senior living metrics, offset by a slightly slower-than-anticipated ramp in our hospice ADC. -- elevated G&A spend related to investments in creating increased efficiencies and systems and processes, including increased focus on cash collection and investments in training an increased number of leaders that will be poised for new opportunities with ongoing wage pressure in both operating segments and service center. On [Technical Difficulty] and performance. With that I will hand it to Brent to highlight a couple of our local leaders.
Brent Guerisoli: Thanks, Jen. It’s my pleasure to spotlight a few leaders in markets in our organization that have achieved remarkable results through operating [Technical Difficulty] national excellence. Under the [Technical Difficulty] model, [Tiffany and Jennie] have led a charge to turn on -- good leaders, Michele Delve and Jamie Campbell and strong future CEO level leaders in the third quarter 2022 [Technical Difficulty] to a positive $534,000, growing occupancy by 6.9% to 88.5% and revenue per occupied room by 11.2% despite one of the most difficult operating environments we’ve experienced. These results are emblematic of what our model is designed to foster, talented local leaders supported by expert resources, meeting the needs of their local communities and in turn, achieving incredible operating results. In our home health and hospice segment, our California market is rapidly turning a flywheel of success due to the leadership of CEO, Andrea Dr. Jordan Baker and Adam Bohn, CCOs, Jesse Alanda and Tina McMahon, the clinical market leader, Bill Bradley, [Custer Leaders Nelson] , Charlie Marinko and Tim Johnson and many others we could name. This group of health care leaders have collectively improved the California markets financial and clinical results, building a deep bench of leaders committed to our model and supporting each other in achieving these results. Over the last few years, this foundational strength enabled them to successfully transition our home health hospice joint venture with [Scripps] Health. First Call Hospice in Sacramento, a successful de novo home health startup in Riverside County and recently Ardent hospice and Palliative Care in the Central Valley and Palm Springs. In the third quarter of 2022 compared to the prior year quarter, this market increased revenue by 31.7% and EBITDA by 148% on the back of hospice ADC that grew by 35% and home health admissions had increased by 11.2%. At the same time, the rigorous focus on quality clinical processes is leading to better outcomes and strong star ratings and other clinical measures. This group of leaders is showcasing what can be achieved in each of their local operations and together as clusters and markets through the application of our unique operating model. Before we move to Q&A, I want to once again make sure to recognize and thank all of our incredible clinical partners and frontline workers who provide life-changing service to our patients and residents every day and make us who we are. With that, we’ll open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tao Qiu from Stifel.
Tao Qiu: My first question is on the guidance. Could you help us bridge between the third quarter and the fourth quarter? I noticed that the guidance suggests a flat top line performance, but the big improvement on the EBITDA number. I know that the hospice rate is going is getting raised in the fourth quarter. Could you help us explain some of the moving pieces between the third quarter into the fourth quarter?
Jen Freeman: Sure. There’s a couple of different things that are going on. And actually, we’re going to experience an increase in revenue. So it may look flat because of the way that we’re reporting our revenue guidance. But actually, we’re reporting an increase in revenue. We should see an increase from our hospice increased rates of about $1.5 million. And then with increase with census and admissions in home health as well as our hospice senses growth. We’re actually factoring an additional increase in that as well, along with our senior living occupancy improving at a similar pace to what it has done. For G&A to remain at the same percentage, a little bit less for the fourth quarter than it occurred in Q3.
Tao Qiu: What about on the expense side, do you see any cost moderation in the fourth quarter versus 3Q?
Jen Freeman: We’re assuming a similar cost in the fourth quarter versus Q3, a little bit of cost moderation in the increase quarter-over-quarter. And then the incremental margin on the senior living occupancy growth will be where we can pick up some extra margin growth because of already covering our indirect costs and having the staff that we need for increased occupancy.
Tao Qiu: Got you. That’s helpful. So my second question is on the senior living business. Obviously, that business has a lot of operating leverage to the upside. And looking at this year, you were able to grow your rate pretty aggressively at 12%. But if we look at the occupancy growth that [140 bps] on the same store is relatively small. How should we think about the 2 components going to 2023 as you think about additional recovery and the pricing power you have today?
Unidentified Company Representative: Yes. Tao. I think what we would expect to see is continued growth on the rate increases. We’re trying to catch up with some of the inflationary pressures, and we’ve made consistent changes in that regard. In addition to that, we’re also doing a much better job of managing each of the residents that are coming in understanding the opportunities from a care standpoint and really getting a full picture of managing both the cost and the revenue opportunities. And so as you look into 2023, some of those same levers that we’ve been pulling this year, we would anticipate rolling into 2023. And we’ve consistently seen occupancy growth, which is encouraging in spite of these rate increases. So I would expect to see occupancy growth rate increase revenue or [RevPOR] increase as well. So that’s what we’re anticipating rolling into 2023.
Tao Qiu: Great. And my final question for me. You mentioned that you’re looking at the small and [mid] size acquisitions in the home health area. I’m just curious, after the final rule came out, any changes in the pipeline or in your conversation with potential targets and whether that has changed at all? And what do you think the market, marketable is today?
Unidentified Company Representative: I appreciate the question. And I think our strategy remains the same. We’ve always been focused on some of these small to midsize providers and then taking advantage of larger opportunities when they presented themselves. As far as the pipeline, we’re excited about what we have. It’s pretty robust. I would say the change to the final rule is in the process of spurring some additional folks to make a decision. The fact that there’s a little more certainty at least for the 2023 operating environment and then some positive moderation in the rules impact. I think will lead to some of those home health agencies that have been sitting on the sidelines waiting to see what was going to happen to engage. And so we’re pleased with what’s in our pipeline, and we’re also excited to see that uptick that we think will come in the wake of the final rule.
Operator: [Operator Instructions] Thank you. Our next question comes from Scott Fidel at Stephens.
Scott Fidel: First question, just on interest you maybe just unpack some of the dynamics in the hospice, ADC and [indiscernible] pressure in the third quarter. Maybe talk about how much COVID [may have] impacted that versus other COVID factors and maybe how those stats were exiting the quarter as compared to how they average throughout the quarter.
Unidentified Company Representative: Yes. Great question. Scott, thanks for being on. Our hospice length of stay was softer than what we had originally projected. It’s one of the drivers behind where we ended the quarter. But we’re really pleased with the momentum going into October. -- it feels like we are -- we’re picking up steam. I think what is driving that ADC remaining flat is a couple of things. One, as you mentioned, our length of stay declined by about 9 days, which is pretty significant for us. The second is we continue to receive an elevated number of referrals from our hospital partners, and we’re grateful for that. But we’re also seeing the census at our skilled nursing and assisted living partners continue to increase. And so we’re optimistic that those settings that often identify the need for hospice a little bit sooner that as their census rebounds, we’re going to see an increased number of referrals from those trusted partners. And so we see that -- we see that starting to happen. Those sensors starting to increase in some of our key partnerships, and we look forward to that bringing us back to a more traditional level of growth. You see on the home health side how we’ve been able to lean into those partnerships produce great quality outcomes and the impact that has had on our admissions and on our ADC, we expect the same from our hospice. And so it’s been a little bit of -- we’ve had some ups and downs with length of stay and where our referrals are coming from. But the good news is admits have remained strong. The community continues to trust our local leaders and the excellent care that we provide, and that will eventually turn into an increased ADC.
Scott Fidel: Okay. Got it. The next question, just interested if you can just go into a little more detail on how the acquisitions trying to improve the performance and margins in, let’s call it, the class of 2021 and 2022. Maybe give us an update on what progress you’ve seen there. And then how much-embedded opportunity you have still remaining and getting those acquisitions up to where you would like to see the margins more traditionally?
Unidentified Company Representative: Yes. As you know, Scott, our traditional strategy has been to buy sometimes somewhat underperforming assets, whether that’s clinically or operationally and to leverage our operating model, our approach to local leadership and our operational expertise to improve those. What that means is it ends up that some of our quarters are lumpy from a margin standpoint as we acquire and integrate those operations. I think what we’ve seen in Q3 and what we’re continuing to see is a number of those acquisitions really pick up steam. An example I’d use is our hospice in Sacramento, which has continued to grow month-over-month from an ADC perspective, from a clinical outcome perspective and a trust from a community perspective and has positioned itself to now view additional acquisitions in that market. But that’s true pretty much across the board. We’re seeing significant improvement. The upside is still huge. We’ve talked a little bit about how those 20 and 21 acquisitions that occurred during COVID, it was harder and it took longer to implement the changes that we so often implement in order to improve clinical and operational performance. And that delay backed that up a little bit, but it didn’t change our long-term opportunity. The long-term opportunity at those operations mirrors those that we have across our platform that have consistently contributed year-over-year double-digit growth. And so we’re really excited to see those continue to add value and force to realize what Brent described as the latent potential in our platform.
Unidentified Company Representative: Yes, Scott, the other thing that I would add, and this is why we’ve been focusing so much on developing our leaders there’s a direct correlation between having a strong leadership team in place at these new acquisitions and frankly, any of our operations and the success of financial and clinical success that we can realize. And so one of the challenges that we faced during the pandemic is that pipeline was disrupted for a number of different reasons. Our ability to connect and come together and develop and train and all of that was just -- it wasn’t as robust and strong as we’ve had it historically. And so that’s why we’re really revamping our efforts to build that leadership pipeline. We talked about the investments that we’re making. And we’re confident that as we do this in the right way because this is what we’ve seen over our history, as we have strong talented local leaders that step into these opportunities we very quickly see significant growth. And so that’s what we’re building towards. That’s what we’re planning on, and that’s what we’ll continue to focus on so that we can have better -- more quick turnarounds with our new acquisitions and in areas that we’re struggling continue to drive performance there as well.
Scott Fidel: Understood. And then just one final question for me. I think it would be helpful, just how framing or how you’re thinking about the trajectory on home health margins for 2023? Obviously, there’s going to be a headwind here around the 1% rate cut that you’re going to have to manage through. And so maybe talk about how you think about wage inflation trending against that and then some of the other levers that you may be able to still pull to try to match up expenses to that rate cut to the best extent possible. And that’s it for me.
Unidentified Company Representative: Yes, Scott. The reality is that while the final rule was a net improvement over the proposed rule, it still wasn’t close to what we hoped it would be, which is a true recognition of the value of home health in the continuum. And the result of that is we’ve still got operational work to do in order to offset it. And the good news is we’ve been working on that, projecting a much larger cut and in the face of this new information, we’re able to continue to dial in our operations. We continue to experience relatively high wage pressure in Q3. Sequentially, we were up about 2.2-plus percent in Q3. And so that’s ameliorating, but not as quickly as we’d like it to, which means that we have to focus on other levers as we continue to be competitive and seek to establish ourselves as the employer of choice in each community that we serve. A few of those opportunities still remain in the way we’re managing episodes. We still think that we have a significant opportunity to manage those episodes more tightly to continue to improve the utilization of mid-level staff and to hire more LPNs, LVNs, PPAs, Codes, who can provide those routine visits in an appropriate way. And we’ll continue to monitor and seek to improve those levers. We also have an opportunity when you look at the type of patients that we’re serving. About 40% of our episodes are early episodes -- and so we see that there is some opportunity to continue to improve our relationships with hospital partners and be the provider of choice for those institutional early referrals as well as for all community referrals. And so we see a number of levers to offset that. Our margin will continue to be lumpy as we go through the acquisition and transition process with new operations, but we do see a continued opportunity for improvement in 20 -- in the fourth quarter and into 2023.
Operator: Thank you. At this time, there is no further questions. Thank you for your participation in today’s conference, and this does conclude the program. You may now disconnect.